Frode Arntsen: Good morning, everyone and welcome to the presentation of SalMar’s Fourth Quarter Results for 2023. My name is Frode Arntsen, and I am the CEO of SalMar. And with me today, I have our CFO, Ulrik Steinvik. Our presentation will follow the same order as before. I will take you through some highlights and the operational results for various segments. Then, our CFO will provide you with the financial update. Finally, I will give you a strategic update, before wrapping up with an outlook for the future. Before we go into the highlights, I want to address the challenges we faced since we last presented the results in the beginning of November. At several of our facilities, especially those in Northern Norway, we’ve experienced severe attacks of jellyfish. This has significantly impacted the welfare of the fish. In close dialogue with the Food Safety Authority, we were required to cull fish at multiple locations and harvest fish much earlier than planned to avoid further issues with the jellyfish. Jellyfish are one of the severe risk factors in the fish farming, and it’s rare for them to cause harm to the fish. It has been over 20 years since SalMar experienced a similar jellyfish attack in Norway. Unfortunately, those who were involved 20 years ago say that the issue doesn’t resolve immediately. It takes some time through the winter, possible until May before the jellyfish disappear again. On the screen, you see some pictures from both our management that were on the site only 2 days after the alarm went off. It is the site manager, the regional manager and also the Director of Farming in SalMar also, Roger Bekken and myself. We were at a place, both to see, learn and also to encourage our people that have a very hard and difficult job. You also see up at the right hand corner where our sites on the north side of Senja are located, north to west and the weather and the wind are strong from the northwest. All these or several of these locations were hit in an unfortunately bad way. You also can see the picture up left. That is a picture taken down in the sea. And you can see all the small white strings of the jellyfish. And you can see they are really a lot of them, and they are going into different parts and divide into the cages. So it’s a very difficult job for our people to handle this kind of incidents. Our people put in an enormous effort when such events occur. And at the site, they worked around the clock to manage their situation at its worst. Additionally, this occurred during a period of extreme weather. The extreme weather we’ve had at the start of ‘24 doesn’t make the job any easier. Tough working conditions for everyone out there, but our employees go out with full commitment to ensure the best possible conditions for the salmon when the weather window allows it. It’s impossible to be out on the farming sites when the wind is at its peak. However, the equipment is robust, yet accidents can happen. And this time, SalMar experienced some incidents during the tough weather. But something happens within SalMar when such events occur. We feel the responsibility for the job, for the fish, for the environment, for our people, and we feel the urge for improvement. All of this together unleashes the extra SalMar power and tasks are solved, the improvements begin immediately. As CEO, I am proud of this, and it shows what resides within us. As of today, the situation looks better at several of our locations, but we continue to monitor the situation closely to try to avoid further incidents. Additionally, many of you have heard that in January, the EU made allegations that SalMar and other aquaculture companies may have violated EU competition laws. The Commission’s preliminary assessment is that there may have been a breach of EU competition rules between 2011 and 2019 related to spot sales to the EU of fresh whole farm salmon from Norway. The Commission has not concluded its investigation and the issuance of a statement of objections does not prejudge the outcome of the investigation. SalMar strongly disagree with the Commission’s preliminary assessment and will present SalMar’s view in a detailed response to the Commission. But now, let’s move on to results. The year 2023, very strong year for SalMar, where we saw the potential in the value chain following the acquisitions we made towards the end of ‘22 begin to materialize. We experienced record high harvest volumes and achieved very strong financial results, the integration of NRS, NTS and SalmoNor into our value chain in Norway, combined with continued focus on operational efficiency, cost discipline and favorable salmon prices, results in very good results. In Iceland, record high harvest volume were also observed, but challenges towards the end of ‘23 led to somewhat weaker annual results compared to ‘22. SalMar Aker Ocean saw 2 semi offshore units come into operation and towards the end of the year, the first harvest from the Arctic Offshore Farming project began. Scottish Sea Farms in the UK had a challenging year with weak results. But looking ahead, prospects are better for the next generation for harvest. Additionally, we have significantly strengthened our financial position through good operations and strategic initiatives. As a result, the Board proposes a dividend of NOK35 per share for the 2023 financial year. In summary, ‘23 was a strong year for us. However, there is still room for improvement in all parts of the value chain, and we look forward to 2024 where we will continue to work on realizing an even greater portion of that potential we have in our value chain. Despite challenges in this year during the quarter, Q4 was a good quarter for SalMar. In total, we harvested 73,600 tons in Norway at a margin of NOK28.8 per kilo. The total operational EBIT for the Norwegian operations was NOK2,121 million. Including Icelandic Salmon and SalMar Aker Ocean, we harvested 83,100 tons in the quarter with a total operational EBIT of NOK2,158 million at a margin of NOK26 per kilo. The aquaculture segments in Norway, especially in Northern Norway are affected by challenges related to jellyfish. Sales and Industry continues to demonstrate very good performance, showcasing the strength of the structure we have in SalMar. In Iceland, there was a record high harvest volume in the period. The challenges related to lice affected the result. Additionally, the first harvest from Arctic Offshore Farming started in December. Furthermore, we have strengthened our financial position during the period by canceling 13.1 million of our own shares following the merger with NTS. In summary, we are pleased with the results in the quarter, considering the challenges where our employees have demonstrated their ability to handle challenges effectively. For ‘24, we are adjusting the volume guidance in Norway to 237,000 tons to – due to challenges related to jellyfish, while the volume guidance for other segments remains unchanged. And now, I would like to go through the operational review, starting with Farming Central Norway. In Central Norway, we harvested 42,300 tons in the quarter with an operational EBIT of NOK1,178 million, resulting in an EBIT per kilo of NOK27.9. The harvest volume was slightly lower than the previous quarter due to adverse weather conditions towards the end of the period and some impact from jellyfish where we prioritized capacity to Northern Norway. There has been good operational performance during the period. And as expected, the cost level is lower than in third quarter. We concluded the harvest of our ‘22 generation in the fourth quarter and continued harvest from the autumn ‘22 generation. Looking ahead, we will continue with the autumn ‘22 generation in the first quarter and commenced slaughtering the spring ‘23 generation. While there are still some challenges at sea, overall, there is a good biological status of the fish in our sea farms in Central Norway. Going into the first quarter, we expect a similar cost level as in the fourth quarter, and we anticipate the volume to be slightly higher compared to the same quarter last year. For 2024, we expect to slot 146,000 tons in Central Norway. In Northern Norway, we harvested 31,400 tons in the quarter with an operational EBIT of NOK840 million and an EBIT per kilo NOK26.8. Northern Norway experienced a challenging quarter due to the presence of jellyfish. We have had to cull fish at several locations, and we have harvested fish with a low average weight, affecting both cost and price realization. Overall, one-off effects account for NOK4 per kilo in the quarter, contributing to increased costs compared to the previous quarter. During the period, we continue to harvest our ‘22 generation and also commenced harvest of autumn ‘22. Despite the challenging quarter, the operational results have been good, thanks to the very strong efforts of our employees. Looking ahead, we will continue harvest from our spring ‘22 and autumn ‘22 generation in the first quarter with the biological status being challenged due to the jellyfish. We expect a similar cost in the first quarter compared to the fourth quarter, and we anticipate slightly lower volume in the first quarter compared to the same quarter last year. In 2024, we expect to harvest 91,000 tons in Northern Norway. The Sales and Industry segment delivers an operational EBIT of NOK166 million. In the fourth quarter, our facilities handled another quarter of high volume. We see that the setup we have built in SalMar with a focus on high momentum harvest capacity and high local processing capacity near the areas where we operate really comes to play in quarters like this. When there are challenges at sea where harvest plants are adjusted several times a day, we see that the structure and organization in Sales and Industry shine true. We managed to adjust harvest in output to optimize the biological performance at sea, while further processing gives us the flexibility to tailor products to the market. This has allowed us to achieve good prices in the market in the quarter. The contract share was as expected at 16% in the fourth quarter and had a positive contribution. In the first quarter, we expect lower volume through our facilities due to normal seasonal variations. We expect the contract share to be around 40% in the first quarter and around 25% for the year as a whole. The price point on contract is higher than what we had in 2023. And then over to the Westfjords in Iceland. In Iceland, a record high of 7,200 tons was harvest in the quarter with an operational EBIT of NOK26 million or NOK3.6 per kilo. This resulted in somewhat weak outcome, influenced by the biological challenges related to lice at the beginning of the fourth quarter. In total, one-off costs associated, as expected and said last quarter, would amount to €5.2 million or approximately NOK8 per kilo for the fourth quarter. Looking ahead, we expect a continued high cost level into ‘24, since we will be harvesting from the location that faced challenges in the fourth quarter. We anticipate lower volume in the first quarter compared to the same time last year. The expected volume for 2024 remains unchanged at 15,000 tons. As many of you may have seen, there are proposed changes to the regulatory framework in Iceland. A clarification is expected in the first half of the year, and we will provide more details once this is confirmed. Let’s move to SalMar Aker Ocean, which now has two semi offshore units in operation after Arctic Offshore Farming also became part of this segment. After several quarters without volume, we can finally showcase volume from this segment as well. In the fourth quarter, 2,300 tons were harvested with an operational EBIT of NOK11 million or NOK4.8 per kilo. Towards the end of ‘23, the first harvest from Arctic Offshore Farming commenced. Part of the harvest was completed in ‘23, but the rest was harvested in January ‘24. It’s worth noting that the EBIT per kilo is lower for the offshore projects due to higher depreciation compared to traditionally aquaculture. For the year ‘24, we maintained the volume guidance unchanged at 7,000 tons. And if we move over to Scotland to our joint venture, Scottish Sea Farms, which delivered a weak result, but slightly better than the previous quarter. In the fourth quarter, the company had a low volume of 4,600 tons with an operational EBIT of minus NOK47 million or EBIT minus NOK10.3 per kilo. As we mentioned in the previous quarterly presentations, the biological situation in Scotland remained challenging. This has affected harvest volumes and the challenges have resulted in harvest of fish with low average weight, high cost and also achieving low prices. Looking ahead, things look better for the fish we plan to harvest in ‘24. Several sites with fish facing biological challenges have been emptied and we see improvements in the status of the fish planned for harvest in ‘24. We maintained the volume guidance for ‘24 unchanged at 37,000 tons. With this, I have come to the end of the operational overview. And I now want to hand over to Ulrik who will take you through the financials.
Ulrik Steinvik: Thank you, Frode, and good morning, everyone. Throughout 2023 through good operations, synergy realization and strategic measures, we had improved our financial position, allowing us to once again have a solid and robust financial standing, as clearly indicated by our financial key figures at the end of 2023. I will show you details about this in the presentation today. Further, my presentation will focus more on the changes throughout the year rather than changes from the last quarter. At the end of the presentation, I will also comment on the expected investments in 2024 and proposed dividend for 2023. I will start by providing some comments related to the profit and loss statement. As Frode already mentioned, the fourth quarter proved to be more challenging than anticipated when we stood here in November and presented the results for the third quarter. At the top right, you see that operational EBIT decreased by NOK143 million compared to the third quarter from NOK2,300 million to the NOK2,158 million. Changes in volume and price account for minus NOK12 million and plus NOK5 million, respectively. The most significant change contributing to the reduced operational EBIT in the quarter is the increased cost level in the value chain amounting to NOK145 million. However, the underlying operations have been more or less at the same level of the third quarter results. As increased costs due to one-off costs regarding the challenges we faced at sea, particularly in Northern Norway and other one-off costs, totals to approximately NOK140 million for the quarter. Iceland and SalMar Aker Ocean contributed to a positive change of total of NOK10 million despite one-off costs in Iceland with about NOK60 million. It is good to note that the start of the first harvest from Arctic Offshore Farming contributes positively to operational EBIT. And I also would like to remind you that the positive change in EBITDA due to harvest from the offshore operation is even greater. Moving to the profit and loss statement on the right. I will comment on the changes year-over-year. 2023 marks the first full year were a new SalMar has operated together with good operations combined with integration work, realization of synergies and strategic measures. In sum, this along with the increased prices in NOK, has contributed to an increase in EBITDA by NOK4 billion and an increase in operational EBIT by NOK3.6 billion to NOK9.5 billion in EBITDA and NOK8.1 billion in operational EBIT. You can see that we have paid a total of NOK208 million in production fees in Norway and resource tax in Iceland. This is a significant increase from 2022, partly driven by volume, but also as a result of the production fee in Norway increasing from NOK56 per kilo to NOK90 per kilo from 1st of July, 2023. Due to continued high prices, fair value adjustments are positive, and this increased the result by NOK630 million. The result from associated companies was minus NOK27 million in 2023, where the weak result from Scottish Sea Farms rest on. Other significant associated companies, Hellesund Fiskeoppdrett and Wilsgard Fiskeoppdrett contribute positively due to good results on their harvested volumes. Net financial expenses amounted to NOK1,203 million and increased cost from previous years due to both increased debt and interest rates. In total, this resulted in a pretax profit of NOK7,279 million. Ordinary corporate tax, along the resource rent tax for 2023 amounts to a total of NOK4.5 billion. I will comment further on this later in the presentation. Consequently, the profit from continuing operations is NOK2,746 million for 2023. Due to the sale of Froy in August, we recognized a gain from the sale of NOK363 million. Together with Froy’s results until the date of sale, the result from operations held for sale totaled to NOK657 million. This gives us a profit for the period of NOK3.4 billion for 2023. As the implementation effect of the resource rent tax accounts for a significant portion of this year’s tax expense, we have introduced an adjusted earnings per share that corrects for the implementation effect. Furthermore, earnings per share is adjusted for net fair value adjustments. As you can see, adjusted earnings per share is NOK35.2 per share for 2023, a significant increase from 2022 when it was NOK25.3 per share. Synergy realization has been an important and prioritized effort in 2023. Therefore, we have kept you informed about the progress throughout the year. By the end of 2023, we can report that 97% or NOK821 million out of NOK844 million in annual recurring cost savings have been realized. This is not 100% achievement, but we expect to close this gap shortly. Therefore, this will be the last time we show the status of the synergy realization. The largest acquisition in SalMar’s history has been completed, and the transaction has given us confidence that we can make even large acquisitions profitable. Thus, where we stand today, we have an even more efficient SalMar ready for further profitable growth. The work related to continuous improvement is reinforced and aim to operate better and better in the years to come. Improvements are already evident in the cost, and this will be further enhanced through 2024 when a difference in cost between old SalMar and the merged companies become increasingly matter – smaller. Moreover, much of it is about utilizing the potential inherent in our shared resource base, such as our licenses and facilities in the value chain. The improvement in license utilization experienced a temporary pause in December due to the previously mentioned challenges. Changes in production plans have been implemented somewhat at expensive volume in the short-term, but necessary to facilitate increased volume over time. The total expense in the group for 20 – total tax expense in the group for 2023 is NOK4.5 billion. This implies increase of NOK3.5 billion or a 375% increase from 2022 compared to the profit before tax, which increased by NOK2.7 billion or 57%. The tax expense consists of ordinary tax expense resource rent tax expense and the implementation effect of the resource rent tax. The ordinary tax expense amounts to NOK1.6 billion and includes payable tax and changes in deferred tax. The resource rent tax expense for 2023 is NOK800 million and like ordinary corporate tax includes both payable resource rent tax and changes in deferred resource rent tax. The payable part of this is NOK464 million. The implementation effect of the resource and tax is recognized at NOK2.1 billion. The implementation effect indicates that the introduction of the resource rent tax was retroactively applied. It does reflects the quantification of past value creation, but does not indicate the impact of the resource rent tax on this year’s result or on future results. When these three elements are combined, they totaled to NOK4.5 billion. And note that there is still uncertainty regarding resource rent tax. And figure presented today is our best estimate based on current knowledge. Moving on to the balance sheet where financial key figures have significantly improved through the sale of Frøy, a new financing agreement and strong cash flow from operations. Additionally, as known, we have canceled 13.1 million treasury shares in December. In 2023, we continued our investment program on the already approved investments. And due to the challenges at the end of 2023, biomass remains at the same level as at the end of 2022. The sum of the balance sheet has decreased from just below NOK63 billion to NOK53 billion throughout 2023 due to the sale of Frøy. Through the reduction in the total capital and a positive result in the period, the equity ratio has increased to 43%. During 2023, debt has been significantly reduced. NIBD, including leasing now stands at NOK14.9 billion, with a key figure for the debt ratio, NIBD, including leasing to EBITDA reduced to 1.6. Excluding leasing, the debt ratio is 1.4. This is in line with our long-term goal of staying below 2 net debt ratio achieved in a very short time after completing the largest acquisition in the SalMar history. Alongside the implementation of a new financing agreement in August, we had NOK8.9 billion in available liquidity in the group at the end of 2023. Overall, the balance sheet and the financial key figures show that we have a robust financial position and a platform ready for further sustainable growth. I would like to briefly explain the changes in net interest bearing debt, including leasing for the quarter. We started with a NIBD, including leasing of NOK15.7 billion. During the period, we had a strong cash flow from operations with an EBITDA of NOK2.6 billion. Tax payments amounted to NOK395 million for the quarter, with a change in working capital of minus NOK246 million. Total investments amounted to NOK731 million for the quarter. As you can see, smolt investments for this quarter are decreasing as we approach the completion of the facility at Tjuin. Additionally, ongoing investments continue in the maintenance and capacity projects in other parts of the value chain. Furthermore, we have increased our ownership stake in Icelandic Salmon from 51% to 52.5%. Due to the sale of Frøy, some leasing agreements have been recognized as IFRS liabilities, increasing leasing debt for the period. Taking into account what we have spent on interest and lease payments during the period, we end up with NOK14.9 billion in NIBD, including leasing at the end of 2023. This represents a reduction of NOK770 million in the quarter. For 2024, we expect to invest up to NOK1.9 billion. Of this amount, NOK1.6 billion will be allocated to investments in Norway. Maintenance investments will account for NOK700 million or approximately NOK2.8 per kilo, in line with what we announced during the Capital Markets Day where maintenance investments were estimated at around NOK3 per kilo. Additionally, some of our capacity increasing investments are still ongoing. Expansion of harvest and processing capacity at Vikenco, and Rindarøy outside Molde constitute the largest single investment. Furthermore, the smolt facility at Tjuin is nearing completion, and we are making some minor upgrades to the smolt facility at Dafjord. We also see the need for some projects in farming and InnovaMar. All of these projects aim to enhance efficiency and reduce cost throughout our value chain. In Iceland, we will invest in particular in the sea phase of the production cycle to facilitate further growth totaling NOK200 million. For SalMar Aker Ocean, we anticipate CapEx of approximately NOK100 million in 2024. These investments primarily focused on maintenance and some minor upgrades at Arctic Offshore Farming. In total, we expect to invest NOK400 million less in 2024 than we did in 2023. Looking ahead, we anticipate a generally lower level of CapEx, in line with the rest of the industry, largely due to increased taxes, which will limit our investment capacity. However, given our solid balance sheet and access to capital, we will take any growth opportunities that arise, whether we will discover them ourselves or they emerge in the market. As the overview I provided a strong SalMar has a strong robust and solid financial position, achieving good operational and financial results throughout 2023. Additionally, we have secured flexible financing to facilitate further sustainable growth. As a company, we are committed to offering returns to our more than 23,000 shareholders on their investments among our many long-term shareholders on Norwegian and international pension and investment funds as well as investment companies and individuals. For years, they have demonstrated the willingness and ability to reinvest and create new businesses and jobs. Therefore, the Board of Directors of SalMar proposes a cash dividend of NOK35 per share for the fiscal year 2023. As usual, this will be subject to approval at our Annual General Meeting in June, its payment to follow thereafter. The proposed dividend implies no change in SalMar’s dividend policy and is aligned with previous practice. The dividend is balanced against a solid balance sheet that has been built up through good operation, synergy realization and strategic measures of the past year as well as the necessary liquidity reserved to handle future obligations, with CapEx slightly lower than the previous year. Sufficient capital access for potential growth investments is in place. And regarding the previously commented adjusted earnings per share, I would like to remind you that liquidity from the sale of Frøy is not part of the adjusted earnings per share for 2023. And with this, I conclude the financial update, and we would like to hand the floor back to Frode.
Frode Arntsen: Yes. Thank you, Ulrik. As we have stated before, SalMar is a growth company with a strong history and significant further growth potential. As mentioned during the Capital Markets Day, we have significant organic growth potential without the need for major investments in the value chain. The investments made in the value chain in the recent years will enable us to reach an annual volume of 362,000 tons. Despite the challenges we experienced in Norway in ‘23, this does not affect the potential inherent in our licenses and our value chain. We have a value chain that can realize the potential in all parts of SalMar’s value chain. Our job is to succeed at every step, and the volume will come out in a few years. Therefore, the volume potential remains unchanged at 362,000 tons. The end of ‘23 was a minor hiccup, but it does not alter our growth potential. There is a strong market for our salmon out there, and we are to succeed in providing customers worldwide with our product, we need to leverage the potential we have. And as Ulrik mentioned, we will invest NOK1.9 billion in our value chain in 2024. There are no major new capacity increasing investments in this, but several projects are underway in our value chain to make us even more efficient, even better fish welfare and to realize the potential inherent in our license space, always on the terms of the salmon and nature. Now, let’s move towards the end of the outlook. For 2024, supply growth is expected to be slightly positive, but still very limited. We also see continued strong demand for our products in markets all over the world. And in this situation, SalMar has significant untapped potential within existing licenses in all regions. As mentioned, we are revising the volume expectations for ‘24 in Norway to 237,000 tons. All other regions have unchanged volume guidance. Our job is to ensure that both people and fish thrive and leverage the strong platform we have in SalMar. And I have said it before, we need to work with both heart and minds to achieve this. I am confident that our talented people and the strong culture we have in SalMar will unlock the potential we have for further sustainable growth, both in Norway, Iceland and Scotland. I have gone through the guidance for the first quarter and volume expectations for ‘24, and you can see the summary on the right side of the slide. As mentioned, the SalMar Board has recommended a dividend for ‘23 of NOK35 per share. With this, we have come to the end of the presentation. Thank you very much for your attention. Our next presentation will be in May, and I hope everyone has a wonderful winter and Easter. And remember, as always, to enjoy plenty of delicious salmon every week. Thank you.